Operator: Good afternoon. My name is Sarah and I'll be your conference operator today. At this time, I would like to welcome everyone to Virgin Galactic's Second Quarter 2024 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I will now turn the call over to Eric Cerny, Vice President of Investor Relations.
Eric Cerny: Thank you. Good afternoon, everyone. Welcome to Virgin Galactic's Second Quarter 2024 Earnings Conference Call. On the call with me today are Michael Colglazier, Chief Executive Officer; and Doug Ahrens, Chief Financial Officer. Following our prepared remarks, we will open the call for questions. Our press release and slide presentation that will accompany today's remarks are available on our investor relations website. Please see Slide 2 of the presentation for our Safe Harbor disclaimer. During today's call, we may make certain forward-looking statements. These statements are based on current expectations and assumptions, and as a result are subject to risks and uncertainties. Many factors could cause actual events to differ materially from the forward-looking statements made on this call. For more information about these risks and uncertainties, please refer to the risk factors in the company's SEC filings made from time-to-time. You are cautioned not to put undue reliance on forward-looking statements and the company specifically disclaims any obligation to update the forward-looking statements that may be discussed during this call, whether as a result of new information, future events, or otherwise. Please also note that we will refer to certain non-GAAP financial metrics on today's call. Please refer to our earnings release for a reconciliation of these non-GAAP financial metrics. With that, I'd like to turn the call over to Michael.
Michael Colglazier: Thanks, Eric. Let's go to Slide 3. Since our Q1 earnings call in May, we've made strong advancements on the development of our Delta Class spaceships. We will have substantially wrapped up the multi-year design phase of these high performance ships in Q3 as we pivot the organization's focus to the build and test phases. Designing step function leaps in performance and reliability into these production model ships has required a huge effort by our engineering team. I'm really proud of their work and their progress, which is hard to showcase as design progress mostly takes place within software systems and analytic models. To spotlight the magnitude of their endeavor, we released a video this morning that provides an overview of the Delta spaceship design and the performance characteristics that have been planned for these ships. Watch it. It's great and it gives you a clear view of the future of private space travel. During the second quarter, we've continued to manage the company with tenacious fiscal discipline. We've maintained strength in our balance sheet to provide the resources needed to execute our strategic plan and we remain on track to launch commercial operations with our first Delta spaceships in 2026 as planned. We closed the second quarter with an incredible spaceflight Galactic 07 marking the completion of Virgin Spaceship Unity's operational phase and the brilliant conclusion of a nearly decade long development and testing program. The many space missions flown by this pathfinding ship built incredible knowledge and expertise for the company. I'd like to start the call by focusing on two core assets that we are now leveraging for competitive advantage and growth. First, we've created a customer experience beyond compare. The value perceived by our customers remained off the charts at price points spanning from around $0.5 million to around $1 million. Second, we've developed a spaceflight system and technology that will revolutionize the operating model and economics of human spaceflight. While the turnaround time between flights of traditional space vehicles has historically been measured in months, Virgin Galactic now has the experience and data needed to target spaceship turn times that are measured in days, which throws open the door to profitable growth and scale. Outstanding product quality that commands a premium price is a huge competitive advantage for any company. We have it and it will drive the top line of our company's growth. With unprecedented turn times and reusability metrics, our Delta ships are planned to disrupt the historic cost structure of human spaceflight and deliver strong profit margins. World class product quality paired with an industry leading cost structure is a massive advantage. When combined with the production capability we are currently creating with our Delta Class spaceship program, these assets form the basis of a powerful business model and growth engine for Virgin Galactic. There are lots of opinions about Virgin Galactic's business model shared on various social channels and platforms. We find many of those opinions are missing key pieces of information. To improve the quality of information that's readily available to our large retail investor base, we released a video overview of Virgin Galactic's business model today, which can be found on our Investor Relations website and various social channels and platforms. It's incredibly important to have our investors tracking with our business strategy and our progress in executing the plan. So today, I've asked our CFO, Doug Ahrens, to share a deep look into our business model, including expectations around variable cost and the degree of fixed cost leverage we expect to see as we grow the size of our fleet. I'll come back on the line to discuss progress being made on our production model spaceships and I'll talk about the shift in focus that will be occurring in the next month as we wrap up our multiyear design phase and pivot our attention more fully to the build and test phases of the Delta program. Doug will return to discuss financial results for the quarter and we will then open the call for Q&A. Doug, over to you.
Doug Ahrens: Thanks, Michael. While it is obvious to most, it is worth repeating that we are a company operating in a very new industry. We have an innovative business model that is not yet known by many. We believe there is a gap between how the public markets understand our business relative to the value we are creating within the company. To ensure we can realize the benefits of this extremely powerful business model, we scrutinize our allocation of resources and maintain a constant intense focus on our spending choices every day. Today, we want to tie together all the components of our economic model and share that with you. Our experience to-date conducting spaceflights on a monthly basis has validated our assumptions around our operating costs and the economies of scale we expect to achieve as we expand our fleet. Historically, the design and operations of human spacecraft made regular repeatable flight operations with individual space vehicles complex and time consuming and therefore the cost of human space travel was prohibitively high. While the space industry typically measures turnaround time between flights of a single vehicle in months, Virgin Galactic's new Delta ships are being built to operate with an average turnaround time of just three days, an enormous breakthrough that structurally changes the cost of human spaceflight. The design of our spaceflight system enables each spaceship to fly hundreds of customers to space each year significantly increasing number of people are enable to make the journey will also bringing cost down. Turning to Slide 4. Let's take a closer look at the economics of the business. After an initial ramp up period following the launch of our first two Delta Class spaceships, we expect to have capacity to deliver approximately 125 spaceflights per year. With six seats per spaceship and at current pricing of $600,000 per seat, this would allow for an annualized revenue of $450 million. Turning to Slide 5, as we then expand our fleet by adding another mothership and two more spaceships, we expect flight capacity to increase to around 275 flights per year with annual revenue growing to approximately $1 billion. This impressive revenue level is delivered with around 1,650 seats sold per year. With an estimated total addressable market or TAM of 300,000 customers growing at 8% per year, we would still only be fulfilling less than 1% of global demand. This further supports our pricing opportunities as demand is expected to far outstrip supply even as we scale. With substantial unmet demand, we plan to further expand our fleet to build out additional spaceports in other parts of the globe. The addition of a fully operational second spaceport would enable combined revenue of around $2 billion per year at current prices. Turning to Slide 6. This table helps illustrate how Virgin Galactic's business grows as the fleet expands over time. Virgin Galactic's business model not only drives significant revenue growth, but is also expected to drive exponential growth in profits. When our initial launch fleet of two Delta Class ships and one mothership reaches steady state flight operations, we expect adjusted EBITDA or earnings before interest, taxes, depreciation and amortization to exceed $100 million per year. This represents a very healthy adjusted EBITDA margin of around 20% to 25%. As more spaceships are added to our fleet, fixed cost leverage allows profits to grow exponentially. By adding another mothership and two more spaceships, profits now have the potential to grow up to $0.5 billion annually with adjusted EBITDA margins expanding to around 45% to 50%. This estimated margin expansion is due to much of the cost structure of our business remaining fixed even as frequency of flights increases. Profits are expected to increase even further as additional spaceports are developed around the world. As you can see on the chart, with two fully utilized spaceports, we expect adjusted EBITDA to be roughly $1 billion per year with adjusted EBITDA margins expanding to 50% to 55%. A business model of that magnitude of profit growth is extraordinary. It's that profit potential combined with the tremendous experience of human spaceflight we are delivering that motivates all of us at Virgin Galactic every day. We are currently focused on building the components of this powerful economic engine. We're investing in the manufacturing capacity for the assembly of spaceships. We're building the capability to make additional spaceships at an estimated recurring cost of $50 million to $60 million apiece. As we have said before, we expect a payback period of less than six months for incremental vehicles, which is exceptional for sizable capital investments. We have built and maintained our balance sheet to realize this profitable business model. We are pleased to announce that we have substantially completed our $400 million at the market or ATM equity offering program. As of the date of this call, we have raised $394 million through this ATM, bolstering the balance sheet and ensuring we have the liquidity needed to bring our first two Delta Class spaceships into service. As we've outlined, with our first two Delta ships in service, we can generate over $100 million of adjusted EBITDA annually and we have the resources to get there, but that's not our endgame. The chart shows the exponential growth and profitability that we estimate will be delivered as we add two additional spaceships and an additional mothership to our fleet in Spaceport America in New Mexico. As shown in the middle column on this chart, these few additional ships are projected to generate up to $500 million adjusted EBITDA per year at current price points as they leverage the fixed costs that will have already been put in place. While we forecast our current resources are sufficient to profitably launch our business, we have the option to seek additional growth capital in order to accelerate our profit generation by enabling the faster acquisition of more vehicles. To recap and summarize the business model, the unprecedented value we deliver to our customers enables high margins for spaceflights and we expect this margin will substantially exceed the fixed cost of running our business as we scale. We project high adjusted EBITDA margins from our business model and those margins are expected to grow exponentially as we add vehicles to our fleet. We are investing capital now to develop the tools, manufacturing capacity and initial spaceships needed to deliver this highly profitable business model. Day in and day out, we maintain our fiscal discipline, scrutinizing our spending in great detail to ensure we are positioned to complete our mission. I'd like to turn the call back over to Michael to share the progress we've been making on our Delta Class spaceship program.
Michael Colglazier: Thanks, Doug. Turning to Slide 7, progress on our Delta Class spaceship program was substantial in Q2. Our engineering team has been accelerating the pace of design completion, which has enabled more and more tool fabrication to get underway. In the next month, our teams will begin to pivot from a primary focus on design completion to primary focus on the build and test phases of our production spaceships. The video I mentioned at the start of the call provides an excellent overview of our Delta spaceship design and provides a good way to visually understand the enormous amount of work that has been delivered by our Virgin Galactic engineering team as well as by our key partners at Bell Textron and Qarbon Aerospace. While the design phase has been wrapping up, we've already released key tools that will be used to build the parts of our Delta spaceships. Here on Pages 7 and 8, you can see examples of the tools that will be used to build major parts of the fuselage. Most of these parts will be built and assembled in Texas at our partners' facilities and they will then be shipped to our new final assembly campus in Phoenix. For those who are unfamiliar with aerospace parts fabrication, these images show examples of tools, similar to molds that will be used to make the parts of our spaceship. The images of the metallic objects are examples of tools that have already been built. These tools are important assets. They can be used time and time again to create the parts needed for our entire fleet of spaceships, which allows us to rapidly expand our spaceship fleet in a cost effective fashion. Another asset we have completed is our final assembly campus located in Phoenix. We received final certificates of occupancy for our two buildings in Phoenix in July and an advanced team is now developing detailed assembly plans as well as training and rehearsal materials while preparing to receive assembly tools and equipment. You can see an image of the completed buildings on Page 9. Our Delta spaceship program remains on track to deliver ships into commercial service in 2026. As I mentioned, we expect to pivot our primary focus to the build and test phases of the Delta spaceship program in Q3. The tool development accelerating in both the third and fourth quarter and parts fabrication ramping up in Q4. We expect to receive major parts and subassemblies into our Phoenix campus in the first half of 2025 with rollout and testing of our first Delta ship commencing in the second half of 2025. As we shared before, we plan to be running major systems tests with our Iron Bird test bed and structural tests with a static test article in parallel to all these efforts in order to have an efficient integrated vehicle ground testing phase commencing in the second half of '25. We will be sharing updates against all these milestones in the months and quarters ahead so our investors can track along with our development progress. Doug, I'll hand the call back to you to cover the financial results from the second quarter.
Doug Ahrens: Thanks, Michael. Turning to Slide 10. We generated revenue of $4 million driven by the Galactic 07 commercial spaceflight and future astronaut membership fees. Notably, average ticket prices for the Galactic 07 flight were approximately $900,000 per seat. Total operating expenses were $106 million compared to $141 million in the prior year period driven by both lower R&D and SG&A expenses. Capital expenditures were $34 million compared to $10 million in the prior year period as we ramped up investment in property, plant and equipment related to development of our Delta Class fleet. Free cash flow was negative $114 million in the second quarter compared to negative $135 million in the same period last year. Turning to Slide 11. Our balance sheet remains strong with $821 million in cash, cash equivalents and marketable securities. Moving to our projections. Forecasted free cash flow for the third quarter of 2024 is expected to be in the range of negative $115 million to $125 million. I'll now turn the call back over to Michael.
Michael Colglazier: Thank you, Doug. I recently hit my four year anniversary at Virgin Galactic, having joined the company in the year after it went public. I have never been more excited by both our progress and our potential as the goal of high frequency, highly meaningful and highly profitable human spaceflight is in clear sight. We have built a customer experience that is unparalleled. The value perceived by our customers is off the charts and will drive our top line growth as we expand our fleet. Production model spaceships currently in development are game changers in human spaceflight. The reusability and turn time capabilities being built into the Delta ships are planned to deliver high capacity with an industry leading cost structure driving solid profitability as we launch and outstanding profitability as we expand our fleet. Q3 will mark a new phase for our Delta spaceship program as we transition from a focus on design to a focus on building and testing. This is exciting and we look forward to sharing our continued progress. Operator, let's open the call for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Greg Konrad with Jefferies. Your line is open.
Gregory Konrad: Good evening.
Michael Colglazier: Hi, Greg.
Gregory Konrad: Maybe just to start on the two spaceport scenario. When do you expect to see any decision being made? How are discussions going? And is there maybe the potential to tie a second spaceport to any potential growth capital needs?
Michael Colglazier: I think we've always said generally from the time we really get serious, I think that's a four to five year effort to bring a new spaceport online by the time you work through all the needs of government, airspace and depending upon location, what needs to be done from a facility infrastructure standpoint. So for us that wants to generally be happening in '25 although we are actively talking to various entities that are interested in this along the way. So generally, I think, it's a four to five year piece and I think '25 is the window when you would see us probably wanting to talk about something there. And then to your question on is that partnership that would happen most assuredly with a government entity, I would say at some level for aerospace, is there a way to blend that into growth capital. Depending upon the location, the government and the interest there, I think, the answer is, yes, that is a possibility. Our partnership in Spaceport America is with the State of New Mexico, who owns and built that facility and we leased that from them. So the major investment in that first Spaceport was in the physical plant. Some of the places that we are considering have a lot of their physical plant built out already and there may be other places where we could partner collectively to create a good economic engine for the community in which we enter. So I think that's a possibility, but I think it's dependent upon the government and the needs that they would have to be what would the specifics of that look like.
Gregory Konrad: And then appreciate all the data and numbers that you gave and of course we always ask for more after you give that. But just thinking about that growth capital on the two Spaceport, I mean, how do you think about the free cash flow conversion of the company at scale and how does maybe CapEx play into that just thinking about the accelerated build of spaceships and just how you can convert that EBITDA to cash?
Doug Ahrens: Thanks, Greg. This is Doug. So we wanted to give you the EBITDA, so you can see what we're generating from the business in terms of operating cash flows. And that's all available to plow back into the business as we see fit. So we're pleased that is a source of capital that we can use to push all back into CapEx if we want or we could scale back if that was the wiser choice. But most likely what we're going to choose to do is invest that because that's how we get more vehicles faster and moves us to the profitable columns as you move to the right. So we're going to want to invest in those vehicles and bring on new spaceships and motherships as quickly as possible and get to the columns where you see EBITDA expanding as shown on the page.
Michael Colglazier: I think to Doug's point, as we invest in additional ships, the cost on those additional ships is coming at a variable basis, right. We will have already completed the upfront cost in the facilities, the upfront cost in the tools, the design will have been done. And so now we're replicating using tools like the examples we showed today. And that gives us new ships at relatively low variable prices and the return on those ships is great. So anything we do from a CapEx standpoint, I think, we're going to look from a ROIC or return on invested capital approach and make sure that we're putting our money to shareholders for use. But I see great return on investment for scaling our ships and our fleet up. And so that would be our primary first choice.
Gregory Konrad: Thank you.
Operator: Your next question comes from the line of Oliver Chen with TD Cowen. Your line is open.
Oliver Chen: Hi, Michael and Doug. The addressable market sounds quite attractive. Just what are some of the key assumptions that underpin the 300,000 people at 8% per year? Also, as you mentioned, parts and subassemblies are an important part as we look to next year and the progress you've been making. How are you thinking about the supply chain and the current environment that you're seeing in terms of service and supply chain and the ability to get the parts and the people that you need? Thank you.
Doug Ahrens: Thanks, Oliver. First on the TAM estimates. So whether you think of it as a kind of a cascading filter or a bit of a Venn Diagram overlap. We're starting with research on the number of people globally with a net worth of $10 million or above. That particular metric is the one that we expect to see growing at 8% annual growth, so it's starting there. And then we're filtering that in two sets of filters. One is a propensity from people to use a fairly substantial proportion of their net worth on experiences. So unlike people who may have a lot of net worth and just like to stay at home or invest in other ways. We're definitely filtering for people who prioritize experiential travel in their lives. And then third, stated interest in space travel, right, and getting a perspective of the earth from space. And so that's kind of the funnel down around there and that's we package that up with some of our internal understanding with our own team. I'll note of our existing current our future astronaut group, probably half are in the $10 million and up range and probably half are less. And I think that just depends on the people who are less prioritize this type of an experience and are willing to put a greater percentage of their available resources towards it. But hopefully that answers that question. On the supply chain side, we are constantly on top of supply chain issues. So by no means do I intend to imply we never see an issue or a glitch. On the whole though, we continue to manage them well. So we have managed the design of these ships ourselves and we're managing the final assembly for ourselves. I think, as you know, we have Bell and Qarbon as the primary people that will be creating the major subassemblies there. So we work with Bell and Qarbon for a wider range of vendors to support. Some Bell and Qarbon go directly, some we provide as owner furnished items. And this is, in a good way, this is an aerospace program and the aerospace industry is big. There are lots of suppliers. There are lots of availability. We are mostly a carbon fiber ship. We have metallics, those are typical in the aerospace industry, some aluminum, some titanium. And we've been way ahead of ensuring the material orders here that we have the billets, we have the general supplies and we've been ordering those up early so as not to let that get in the way. And then you'll have a situation come up. We had one not too recently where one of the tools as we're refining what you'll hear is the loft of the tool as we're refining the actual shape of what the mold will look like, so the part will come out correctly. There can be analysis that needs to go in there and some of our efforts needed to accelerate the analysis that we're doing and we had to work through the supply chain to be able to make that move at a good pace. So we have lots of smaller issues along the way like that. But so far the major slugs of material, major supply issues we are staying in front of. And but it's a week to week look and forecast ahead to make sure we remain ahead.
Oliver Chen: Okay. And one follow-up, you've given a lot of clear information on the leverage ability of the model as well as the opportunity. The equity value of the stock is pretty modest relative to the opportunity. So what do you think is more underappreciated in your opinion? It's an open ended question. Thank you.
Doug Ahrens: I think modest is a gracious term in the way that sense is phrased, Oliver, but thank you. We would agree that the value that is being built into and created by the company is not accurately reflected in the market capitalization value that we currently are seeing. So what is in the way? Well, what are the risks that I don't think are in the way? Well, I don't think technical risk is the question because we proved that out with Unity. I don't think it's a safety risk piece, which is what we're demonstrating with all of our flights over the last year. It's not regulatory risk because we've worked through that with our spaceship Unity. So and it's not product market fit, it's not customer risk because that's shown to have great value. So what's left in that piece is primarily driven by execution risk. Are we going to finish the work that we have and get that done in time and pace and physical discipline so as not to create financial risk. And an execution risk happens. It's on all manufacturing industries, there's execution risk. How we handle it? We have, first, massive diligence daily across all parts of this program to both make sure we're getting done the work that needed to get done that day. And we're looking forward to make sure that something new isn't on the horizon that needs firefighting. So that's one. Two, we keep contingency buffer built within our schedule and our plan. Our teams are not meant to use it, but we also recognize there are unknowns that nobody can fully predict. And we need to have the capacity to absorb those, while also looking for opportunities to improve as well. So we're managing this very tightly along the way. And I personally if I look at where the market is reacting, I think, there's must be a heavy weighting into I think it's less fully informed opinions. And we'll see opinions out of, look, Virgin Galactic is spending money without revenue that must be bad. And while we are in a pre-revenue phase and we are clearly investing heavy capital in, it's very purposeful because we're building the assets and the infrastructure that will create an incredible company. And it's that last part as simple as it sounds that I don't think is being accurately reflected. So we have gone to the step of putting out a thoughtful video of our business model. It's six minutes. I encourage everybody to watch it, share with your friends and it lays everything out in succinct fashion. And then let's have a conversation around that. But right now, I believe we're missing some of those important points. We're investing for the future, and I think that gets missed perhaps in some of the past. So hopefully today is a good way to start changing that and getting better balance and information shared.
Oliver Chen: Thanks, Michael. Thanks, Doug. Best regards.
Doug Ahrens: Thanks, Oliver.
Operator: Your next question comes from the line of Myles Walton with Wolfe Research. Your line is open.
Myles Walton: Thanks. Good evening, and thanks for the, thanks for the video. You really get the juices flowing and I think it was a well-produced overview.
Doug Ahrens: Thanks, Myles.
Myles Walton: Doug, can I focus on Slide 6 for a second? I just want to make sure I understand the economics, particularly the Spaceline operations and SG&A of your initial fleet assumption. Because obviously if I look at just the first half of this year, you're already annualizing, you know, $100 million for Spaceline and $120 million for SG&A. So how does whatever is in those two lines change from here to there or are you just saying the cost that we're incurring today are going to be the same cost we're going to incur when we're flying 125 flights a year?
Doug Ahrens: Yes. Thanks, Myles. So, yes, the costs that are in those buckets are very similar to what they are today, because what you see growing as we increase the flight rate is the variable costs that go up. So we bring in the revenue and then we've got what we showed as variable spaceflight costs, which is the rocket motor and the fuel and the hospitality and all of that, that goes around the flights. But the fixed cost portion is, as it's stated, it's fundamentally fixed. The activities in that group varies over time. Right now, they've been working on flying Unity and now we're working on things like getting the factory ready in Phoenix and so on. So we're and we've got people working on Delta programs. That group is still employed and doing different things and then they shift back into flying and then you start to see it grow as we add more and more vehicles from there. SG&A, also it's by definition fundamentally fixed. As we start to fly more, there's no real reason why it would grow more than a modest amount from where we are today in terms of administrative costs and we've got the sales function is probably the area where you'll see the growth versus the rest of it, which is fairly fixed. So sales would be the area where we would ramp up over time in that bucket to make sure we have all of the volume that's projected here. But that's really the logic behind it.
Myles Walton: So there's no I know there's an accounting treatment in the R&D line that part I get. There's no accounting treatment for the SG&A line because again the run rate you have today is $120 million versus that $100 million or so you're targeting. So clearly something has to go away from what you're doing today within SG&A?
Doug Ahrens: There's a small, yes, so good observation. So there's a small portion of this that will get reclassed into R&D or Spaceline operations. We have some kind of functions that are involved in management and so on in this phase of our operations. But as we shift to flying and we move down the road, you will see some reclassing into those other buckets out of G&A, but not a lot, but the amount you just mentioned.
Myles Walton: Okay. All right. And then just one quick one, the number of astronauts in the backlog, how stable has that been? I know this maybe 18 months ago was 800, I think, at the end of the year was 750. I think the presentation, the video said approximately 700. Are you curating further the backlog? Is there a little bit of lead off? What kind of movement are we seeing in the backlog?
Doug Ahrens: Mostly, you're seeing, I'd say, mostly it's stability. So we are, have been holding the same basic level going through. We flew a number of people over the last year, so that was partly going down. There have been a couple of places where we saw a bigger drop of folks that have come through, but that's pretty stable. Of the folks who have dropped out, the large majority of that have been folks who are very early in the program for various reasons. Some are in a change of life stage, some may have other issues have come up, some may have had health issues that have come up. And so the majority of the people who have stepped away from the program, at least at this stage, have been preponderance -- the preponderance of that has been our very early folks. We feel very strong about this group. We stay connected with them. We're working and we go to the various cities where we have large groups of them and give updates on the company. And they're incredibly valuable group of people to us and as a company. As we shared, we don't have sales open right now, so we're not actively working to backfill when these open. This still gives us quite a backlog and we're comfortable with the amount of backlog we have right now. But when we do open up sales, you'll start to see these numbers go up as people kind of come in on the tail end of the line here.
Myles Walton: Okay. All right. Thanks.
Operator: [Operator Instructions] Your next question comes from the line of Michael Leshock with KeyBanc Capital Markets. Your line is open.
Michael Leshock: Hey, good afternoon. I wanted to start asking on the free cash flow guidance. I think you previously expected 2024 to be the largest cash burn in support of the Delta Class ships. So just given what you've done to-date in the 3Q guide, that would imply a 4Q burn of around $135 million and that's just to be in line with 2023 burn level. So are you expecting a step up in cash burn in the fourth quarter, maybe in the 140 million to 150 million range. Just assuming that you're still expecting 2024 to be the largest spending year?
Doug Ahrens: Thanks, Mike. This is Doug. So, yes, we do still expect 2024 to be the largest spending year. It's about flattish to 2023, a little higher. We didn't give guidance past Q3, but I can give you some direction that, as we talked about in the prepared remarks, we do have acceleration of activity going on with the tooling development and parts fabrication. That's a Q3, Q4 activity and trailing into Q1. So you'll see the kind of local peak be around the Q4, Q1 timeframe. And then you'll start to see things ramp down in Q2, Q3 of 2025. So that's directionally where we see things going, little lower than the amount you just highlighted though, not in the level of 150, that kind of number, we're lower than that.
Michael Leshock: Got it. And then any change in how you're thinking about research flights as Delta Class starts to ramp? Are you still targeting that 10% or so range of flights slated for research? So that's the first question. And then secondly, we got to see the research product in action and heard the great testimonials of some of your customers. Have any more government agencies inquired about research flight now that you've kind of proven the reliability of the offering given the success of Unity flights?
Michael Colglazier: I'll take that one, Mike. The research program and research product that we have has been equally successful, albeit from a different customer lens, as our private astronaut flights. We typically spend most of our time talking about our private astronauts. But it's very successful because we offer access to a microgravity environment that relatively is quite long and quite clean and at the price point is quite valuable for the price charged. And so it just kind of wins on every front there. We have had, I think, you probably saw Kellie Gerardi and a group of researchers have signed on for another research flight. I think you'll see things like that with people who've flown before. We obviously do that with payloads. Lots of our university partners are repeat flyers as they either do new research or use our platform to refine their research before it goes further out to the space station or even beyond. So the product quality has been very good and the repeat availability of it will be very good. Most of our research customers, not all, but most need pretty specific dates. That's most of them are government funded and most government funding requires some specificity of dates. And we're a little far out from getting real specific with our dates and we know generally there, but the customers need us to be a little more specific. So as we get closer in, you'll see us also start to ramp up research sales as we also open up private astronaut sales. Now you ask about 10%. I think that's a nice target in the early days. We'll see as we scale this up, right. If you go to Page 6 on this chart, as we start getting to 275, you get to a second Spaceport, it's a lot of space flights. I don't have a sense if the market will -- the research market will continue to scale to 10% all the way up, but I definitely think that's the right target in our early, early periods for sure. I will note, we adjusted our pricing. While we don't have sales open. We do take referrals from existing customers and, as I've always used this term, some house seats that we offer. We've brought those prices into parallel. So at this point, every seat equivalent, whether it's for a private astronaut, a human researcher or we remove the seat and put a payload rack in, all is at 600,000 on a seat equivalent basis. That's our kind of current off the market price. When we really open up sales for the Delta ships, we'll reassess our pricing again.
Michael Leshock: Then lastly, I appreciate the economics that you provided. Just looking at some of the assumptions, is it four spaceships and two motherships at Spaceport America before you start to look into expanding into a second Spaceport? Is that is that kind of the what you need to see before you build a second Spaceport? And is that the expected capacity of a Spaceport in the future?
Michael Colglazier: It's not that we need to see that before working on the next Spaceport. We'll definitely start working on the next Spaceport even before these Delta ships launch in 2026. However, it's the smartest place to go first. One thing you'll notice if you start doing the math of ratios of how is revenue and contribution margin growing relative to these cost lines growing. And we have a bigger set of leverage as we move from the initial fleet to the expanded fleet than going from one to two Spaceports. There are a couple of things behind that. But to the question you're asking, Mike, it's primarily because two spaceships and one mothership, that's an imbalanced line. It's an underutilized Spaceport where we have a lot of our fixed costs into run Spaceline operations there and even in SG&A as one of the earlier questions was talking about that we can fully get leverage on as we add a couple more ships. Now this chart shows us with two and four and then at that point like moving to an additional Spaceport. There's you've heard us talk about higher than 275 flights in the past. We're trying to be reasonably conservative and not getting too far ahead of what weather will look like when we get to additional Spaceports, and so trying to have a balanced place there. But it may be that it's worth adding a fifth spaceship in each of these things just to have a hot spare ready and being able to pick up additional set of flights along the way. So you might see us tweak the numbers, but what we have here on the page is where we would like to start each of these Spaceports.
Michael Leshock: Got it. Thanks, guys.
Operator: This concludes the question-and-answer session. It will also conclude today's conference call. We thank you for joining. You may now disconnect your lines.